Sami Taipalus: Good afternoon, everyone, and welcome to the Sampo Group Fourth Quarter 2023 Conference Call. My name is Sami Taipalus, and I'm Head of Investor Relations at Sampo Group. I'm joined on the call by Group CEO, Torbjorn Magnusson; Group CFO, Knut Arne Alsaker; and CEO, If Morten Thorsrud. The call will feature a short presentation from Torbjorn, followed by Q&A. A recording of the call will later be available on sampo.com. With that, I hand over to Torbjorn. Please go ahead.
Torbjorn Magnusson: Thanks, Sami, and welcome, everyone. As you will have seen from our numbers, we maintained really strong momentum through the fourth quarter. I think we have reaped benefits from 3 different aspects of our business model. Firstly, we're big and have been able to invest in digitalization over a long time. This means we sell to and service our customers digitally more than ever, more than others in our markets and very efficiently. Secondly, even in a year with a high number of large losses and nat cat events, our diversification reduces the effects of volatility. Now and then we will have this kind of year, and we have a strong balance sheet with which to meet this. Finally, our exceptional underwriting culture has produced another year of improvement of the underwriting ratios adjusted for the volatile effects just mentioned. Just to list a few key achievements for the year, I think improving the underlying combined ratio again at a stable pace as well as improving the cost ratio for the 14th consecutive year, belong up there. Having been able to use our digital provisions to grow other lines, other lines than the motor business in the Nordics, in the face of low car sales is certainly another. And finally, I think Hastings agility in the challenging market in the U.K., combined with its underwriting discipline is also impressive to me. Finally, on this page, I think our investment returns compares well to the market. Given our low-risk portfolio, 6.3% returns for the group certainly is a welcome addition to the insurance underwriting. Total profit before taxes for 2023 increased to just shy of €1.5 billion. That number summarizes all of this, of course, and the proposed dividend of €1.8 per share and a payout ratio of 86% of our operational EPS. On the next page, we outline the key general insurance developments. First of all, it has to be pointed out that the Nordic market has remained disciplined and one observes the rather high combined ratios in part of the market compared to ourselves and a few of our listed peers. Prices have kept pace with claims inflation and retention numbers for us are by and large in the same place as a few years ago. We continue to see particularly attractive development in our Nordic -- target Nordic growth areas such as personal, home and SME insurance. In the U.K., switching is much, much higher than a year ago as we predicted then and rate increases have been late in the face of the cost of living crisis, but rational. Riding this wave as best we can and capitalizing on the GIPP opportunity, we have been able to grow, especially in home insurance. Total gross written premium for growth for Hastings last year was 32%, and we have a very good starting position for 2024. However, the special growth opportunity for home insurance, I think, is now fading for us. Claims cost development has continued to follow the same pattern as earlier in the year. In the Nordics, we have rather good visibility with our purchasing power, and average claims inflation remains just over 4%. In the U.K., even though claims inflation has moderated slightly towards the end of the year, it's still surprisingly high. We see no obvious reason for claims inflation to stay this high as consumer price inflation has dampened and the price for used cars is falling. So let's see. Despite the claims inflation, though, we were able to reach 89.8% operating ratio for 2023 and without -- with roughly the same reserving levels as before. Finally, when it comes to weather, we have an early and long winter in the Nordics this year, combined with some wind, which cost us some 3% to 4% on the combined ratio in Q4. This is more than the average of, say, 1%, but not an extreme situation at all. We consider it to be maybe a 5- to 8-year return period, and it affected only 2 of the 4 countries significantly. Commenting on weather, let me also say that even if the return period for the Norwegian wind storm in January this year was very long in metrological terms, it mainly hit the northern parts of the country, and it doesn't seem to have incurred a double-digit euro loss for us. Looking then to the asset side of the balance sheet, Sampo enjoyed an excellent investment return in the fourth quarter on the back of broad-based gains across the portfolio. The full year return was 6.3%. As a group, we're comfortable taking measured investment risk in order to enhance earnings over the medium term. And since 2009, we have earned an average spread of some 290 basis points over the risk-free rate in If P&C, equivalent to roughly €300 million per annum. As before, we are very reluctant to conclude that interest rates will stay at these levels. The stock markets will keep climbing and that there will be a continued sunshine everywhere. So last year's investment returns is not a solid basis for us making insurance rate decisions. And indeed, the stock markets in January have not supported, I think, eternal optimism. I thought I should give you a little bit more insight into our 1/1 renewals than I usually do this time of year, considering we are now in February and considering that more than 40% of our corporate book is renewed at the beginning of the year, both in commercial and industrial. We have been able to renew most of the business with unchanged, very high retention or renewal rates. The acceptance for adequate rate increases is still high. And especially for industrial, the changes include tighter terms also equally important in reducing losses. We have also taken the opportunity to move away a little bit from some of the largest exposures in our constant efforts to reduce volatility in our results. This was done without much drama in the market. But of course, it's supported rate increases in general. To conclude, I am pleased to have closed another good year. Our operational performance remains excellent, and our competitive advantages are as strong as ever. I look forward to updating investors and analysts on our plans at our upcoming Capital Markets Day on the 6th of March 2024. Over to you, Sami.
Sami Taipalus: Thank you very much, Torbjorn. Operator, we are now ready for the Q&A.
Operator: [Operator Instructions] We will now take our first question from Freya Kong with Bank of America.
Freya Kong : Firstly, just on your remarks in the release about putting through significant rate increases. Where are these rate increases targeted? I know you talked about commercial. What about the personal lines segment? I guess I'm just trying to understand the need to drive significant rate increases from here as claims inflation frequently is tracking in line with expectations. Do you expect to see an uptick in inflation over the next year? Second question is on U.K. motor. It seems to have grown modestly in the fourth quarter, although a bit hard to tell. I know we will get financial targets at your CMD, but I just -- I'm looking for comments on how you see the U.K. market now after the rate increases have gone through. Do you expect claims inflation to moderate from here? And how is the competitive backdrop looking?
Torbjorn Magnusson: Maybe I'll start with the U.K. and then leave to Morten to comment on significant or at least rate increases in the Nordics. U.K. motor, I think will be entirely decided by the claims inflation going forward. As I just mentioned in the introduction, there are, as we see it, no reason to believe it will stay this high, but I'm also a little bit surprised personally that it's still this high. And the market has been rational towards the latter part of last year and increased rates a lot. And then we will see whether that's enough. And how do we respond to that at Sampo? Well, the same way as we always do, when we see an opportunity because we can provide customers with a good proposition at a better rate than the market, then we take that opportunity. If there's no such opportunity, we will not grow as much as otherwise. So we aim to increase the underwriting profits and the EPS, and that's paramount in Sampo and has always been.
Morten Thorsrud: Yes. And then to the rate increases, we continue to have, on average, 5% to 6% premium increases throughout the Nordics. On Private and Commercial, we are mostly now pricing in line with inflation as we see that margins and rate adequacy is really good in those segments. And then in the large corporate industrial segments, we do to continue kind of pricing above inflation. So that's an area where we kind of are clearly increasing rates somewhat.
Operator: And we'll now take our next question from Alex Evans with Citi.
Alex Evans: Firstly, just on the claims inflation, both in the Nordics and the U.K., it seems like a material drop in 2023 in the Nordics and marginal for motor in the second half of '23. Just wondering if you're able to give any sort of color on numbers on your sort of your outlook for claims inflation in '24, if you're expecting it to be below the 4% to 5% range? And likewise, in the U.K., you sort of said modest decline in Q4, but competitors are saying sort of 7% to 10%. Does that align with how you're thinking about it? And then secondly, just on the improvement in Hastings in the quarter. I'm aware there's some quite bad weather in Q4. Is it possible to give a bit of color on the magnitude of this? If I'm looking at sort of industry estimate losses, that's €550 million on sort of a 2% market share. That's maybe about 3 points on your loss ratio. Is that sort of the right thinking there? And just a comment around the growth opportunity fading in home now as well. Is that just the strong growth that you've already put on? Or are there some new entrants and it's a little bit more challenged?
Torbjorn Magnusson: Where do we start with this, Knut?
Knut-Arne Alsaker: I can start with weather impacts in Q4 for Hastings, which I would call marginal, so not a driver of the result in a negative sense in Q4 to any material...
Torbjorn Magnusson: And then, Morten.
Morten Thorsrud: Yes, then I can comment a little bit on claims inflation, which will be a bit of repetition of what I think we talked about during last year. But on average, between 4% to 5% inflation more towards the lower end of that range on average. Motor is a little bit above that range, and properties below that range. On motor, we’ve been seeing stabilizing inflation during 2023. And on property, we’ve been seeing falling inflation during 2023. We do expect inflation to be at, what I would say is, a bit elevated levels also in 2024 compared to at least historic levels due to sort of the visibility we have now on the wage increases and repair cost. So I think now we have good visibility on inflation going forward, and again, in the range 4% to 5%.
Operator: We'll now move on to our next question from Tryfonas with Berenberg.
Tryfonas Spyrou: Well done for the strong end of the year. I have a question on Finland. It looks like it had a really good year overall in terms of profitability. Can you maybe share what were the key drivers and what products are driving this? So whether we should expect this to continue? And related to that, do you expect -- how do you expect the behavior of the mutuals across the Finland and Sweden to evolve next year and/or this year given the combined ratios do not look as nice as peers to put it lightly? The second one is on -- and I appreciate you don't like to give guidance on this. But maybe would it be fair to assume that inflation coming down, pricing still strong, the underlying improvement to the If risk ratio can continue to improve by 50 basis points or so a year? And then the last question, maybe one for Knut Arne. It's on the holdco liquidity and cash remittances from subsidiaries. Can you maybe share whether the €1.3 billion liquidity figure includes any of the cash upstream from East Hastings for 2023 or will this be coming on top of this amount, maybe you can please share what the numbers you will be expecting from the 2?
Morten Thorsrud: Yes. A set of questions there, and I think I'll try to answer then the 3 first ones and then hand over to Knut Arne on the last one. On Finland, yes, good profitability level, I think really represented by good underlying profitability, which is actually what we see in all countries. But then Finland has clearly had less events -- weather events than what we see in the other countries during 2023. So I think weather and large claims sort of has been more benign for Finland. But again, good underlying profitability and good underlying profitability in all business areas in Finland. Then your questions about the mutual, I think we want to avoid speculating too much about competitors. I think the only thing I can say is that it's quite clear that some players, including If has been early in pricing for inflation. And then we do see that some other players are perhaps lagging a little bit behind. But eventually, I think all players need to price for the inflation that we have seen. So I think that's a good position for us to having already implemented sort of the needed price increases due to the inflation that we've seen. In terms of underlying improvement, I think as I briefly also commented on a little bit earlier, in Private and Commercial now, we are more pricing in line with claims inflation that we expect going forward and -- because the margins basically are really at good levels there. And then in Industrial, we are pricing somewhat above claims inflation still. So I think that gives you at least some insight into sort of potential underlying improvement going forward.
Knut-Arne Alsaker: On the holding company liquidity, I didn’t fully hear your question. But with respect to whether or not we took up a dividend from the subsidiaries last year we did. What you shouldn’t expect is us to have the same kind of big announcement in November every year when we decide on a big dividend and talk about it in our quarterly reports. This will be a part of our group liquidity steering. And by that, that means that there are possibilities for us to add even more liquidity to the holding company before next November.
Operator: And we will now move on to our next question from Jakob Brink with Nordea.
Jakob Brink: Back to Hastings, please. So the -- I was trying to play around, but the growth numbers on life policies, and it looks slightly less than 10% year-on-year, and you grow gross written premiums 34%, right? So is it fair to assume, roughly speaking, that I guess around 25% of the growth is coming from new customers, new policies and the remaining part is from price hikes? And in continuation of that, those price hikes, I guess you started with them sort of fairly early in 2023. We saw fairly big increases month-on-month in the first 2 quarters of '23. So would that then be fair to assume continued support from these price hikes on insurance income when we go into the first half of 2024? I guess that's the first 2 questions. And I have a follow-up.
Torbjorn Magnusson: So your calculation is not wrong, sort of as round numbers. And then we actually started the price hikes a bit earlier than you indicated, but your question was whether we will ride on those into 2024. And of course, that's true. We have continued to increase rates up to the very end of the year.
Jakob Brink: Okay. And then you mentioned also in your presentation that you had seen this small decline in inflation levels towards the end of the year. Would you say that these riding on these price increases you have already done, are they bigger than this slightly lower inflation? Or would you say that if these Q4 inflation level stays, is there then need for more price increases?
Torbjorn Magnusson: Let's just say that if we have another year of 12%, we will continue to increase rates.
Jakob Brink : Okay. Fair enough. Actually, one last thing on growth in Sweden. Sweden has been fairly low on top line growth in If for quite a while. It seems like it did accelerate both in gross written premiums and in insurance income in the fourth quarter. Is that price or did something underlying change?
Morten Thorsrud: No, I think on Sweden, the underlying growth actually has been fairly good in Sweden. But what has sort of dampened the figure is the car damage warranty that seems to always come back to us sort of, so low new car sales has given us quite some headwind on growth in Sweden. Now kind of we're starting at least to compare sort of years with equally low new car sales 2023 and 2022. So I think, again, sort of the underlying growth momentum is actually good in Sweden. And I think that's more what you now finally see in the Q4 numbers.
Torbjorn Magnusson: Morten, I see this as one of your successes actually over the past couple of years to replace the car damage warranty income with the home insurance and personal insurance income. That is something the organization has done well.
Morten Thorsrud: Yes, absolutely. I think growth on property and personal risk products close to 10% on both of them, offsetting quite well the somewhat lower growth that we've seen on motor due to low new car sales in the Nordics.
Jakob Brink: Because I guess you're now looking at 7.5% growth in Q4 year-on-year, which is quite an increase from 6% last [indiscernible] full year. So it does seem like it's accelerating.
Morten Thorsrud: Yes, I think sort of development from quarter-to-quarter is always a little bit – I mean since we are reporting on gross written and not sort of earned, you always will see a little bit of volatility sort of on the quarter-to-quarter. But of course, it gives you more visibility on the future development, again, sort of looking at the written figures because that’s what we will earn over the next year, right?
Operator: And we will now take our next question from Faizan Lakhani with HSBC.
Faizan Lakhani: Congratulations on a very good set of results. The first is coming back to the point that you're looking to maintain similar margins in private. But at the same time, you mentioned some of your peers are still putting through claims inflation. So can I take from that, that you will be taking market share within private? My second question is coming back to liquidity. Now if I deduct the DPS, that leaves me with around sort of €500 million worth of liquidity. Is that fair to say that liquidity becomes a constraint to your next dividend for further capital returns? And my final question is on the prior year releases. You mentioned that it was due to sort of a reverse sort of certain inflation assumptions. Could you provide a bit more detail in terms of where that came from? Is that wage related, is that claims frequency related, and which lines of business?
Morten Thorsrud: Yes, I'll start with sort of If related questions. Market share, let's see. I think we are, of course, very satisfied with having implemented price increases somewhat ahead of inflation. I think that leaves us in a good position in terms of competitive sort of positioning in the Nordics. But let's see then how the rest of the market reacts and what this kind of eventually, how this plays out. And how many cars are sold next year? It would be good if the Nordic people start buying cars again. Then to the prior year releases in If, a fair part of that came from extra inflation reserves that it put up in Q2 and Q3 in 2022, basically, both motor and property. And I think what we saw sort of during '23 was more a development according to our expectations, and then we see that we could release some of those reserves.
Faizan Lakhani : Was that better development on the claims frequency side? Or is that bodily injury? What was the A versus Z on that front?
Morten Thorsrud: That was more sort of pure inflation. I think on the frequency side, the development for us in the Nordics has been very close to what we predicted, sort of returning to close to normal levels after COVID. So I think frequency has been quite sort of as expected. And then, of course, inflation was elevated in '22, '23.
Torbjorn Magnusson: But if you look up to Q4 2022 numbers, one could say that we were a bit conservative maybe with the inflation reserve.
Knut-Arne Alsaker: On the liquidity, we will obviously talk more about capital management and the capital position at the CMD. But just in terms of the liquidity angle of that, it's not a constraint that SEK 500 million. And one other simple reason for that is that, that balance will increase with sort of the cash management planning we have within the group over the next few months. So it's not a post-dividend number, which will be fixed for the rest of the year.
Faizan Lakhani: All right. Okay. Okay. Look forward to that.
Operator: [Operator Instructions] We'll now move on to our next question from Johan Strom with Carnegie.
Johan Ström : Most of my questions have already been answered. But I have one, a little bit technical, and that's coming back to the announcement you made in mid-January with a change of accounting treatments for discounting effect. So first, I just want to confirm that the changes that you've made now will not have any impact on your pretax profit? And then to my question, really, how should we think about the unwinding effects going forward, looking at If P&C, the Q4 unwinding level looks a little bit higher than before?
Knut-Arne Alsaker: Yes. It did not have a pretax profit effect as such other than the fact that there is a little bit of discounting effect in Q4, which we wouldn't have had because we need to adjust for the fact that we had a little bit too low discounting in Q2 and Q3 compared to the new model. Sami, I think we disclosed that number in the release. Anyway, it's €9 million in Q4. Then of course, what will happen going forward, Johan, exactly as you say, is that the unwinding everything else equal, not thinking about interest rate moving up and down, will in the insurance finance income and expense be a little bit higher because we also will unwind current year, which previously was a part of -- more of a part of the insurance service result. And of course, this makes the alignment between elements of the investment result than the insurance finance income and expense better because it brings more of the cost of liabilities from discounting into the net finance result, and that's where it should meet coupons that we are generating from our fixed income portfolio.
Johan Ström: Okay. Great. That sounds very smart. And then if -- just on the numbers there, so if you take 1 year of unwinding effect and divide it by 4 and add it to the quarterly run rate, is that how we should calculate it?
Knut-Arne Alsaker: That’s how you should calculate it. And we gave updated sensitivities in our investor presentation today. What we will need to do is just to – there will be updated sensitivities on a quarterly basis going forward because these numbers might change a little from quarter-to-quarter depending on how interest rates develop. So we will have a new sensitivity after Q1, which will give you a good indication for the for the Q2 unwinding. But you’re exactly right. The numbers we’ve given you today based on where we are today, you could take that number and split into 4 and get the best possible sensitivity or estimate that we can give you today.
Operator: And we'll now take our next question from [Jaakko] with SEB.
Unidentified Analyst: I could follow up on the run-offs. And so what would -- they were exceptionally high in '23. And could you elaborate or help us what should we expect for '24? How extraordinary the '23 number was?
Morten Thorsrud: Yes. I think we're not really giving any sort of outlook on the runoff gains. But yes, they were a bit elevated in 2023. And as already explained, a larger part of that comes from the conservative inflation reserves that we put in place in 2022. So that was clearly kind of an extraordinary thing. Of course, with IFRS 17, you do get some runoff gains sort of from the risk adjustment reserve sort of -- but apart from that, sort of, we're not giving any guidance on the runoff as such.
Torbjorn Magnusson: You could say possibly that we have roughly the same reserve trends that we always had. If you look at our prior year gains over time, this is one of the higher numbers, probably not the highest, but one of the higher numbers over the past 15 years, if that's of any use to you.
Morten Thorsrud: Yes. And we like to have a conservative approach or we kind of have strong reserves. And that's sort of the way that it's always been, I think at If.
Unidentified Analyst: Okay. Great. Then on the customer behavior in east private, are you seeing the private customers tendering their policies more actively now following the kind of a market-wide price hikes during '23 in the Nordics?
Morten Thorsrud: No, not really. To a very small extent, you see sort of retention rates creeping down a little bit, but it's very marginal, and the retention rates are still at a record high level, if you look sort of more at a longer history sort of. So I think the customers are sort of understanding that we need to price for this inflation that we see. And again, we see good retention rates throughout the Nordics.
Torbjorn Magnusson: And Morten, you're still above 89%. Compare that to any market in the world, any customer segments anywhere, and that's your average.
Morten Thorsrud: We're still above 89%, and it's still a very high level if you look at the more historical context. So we continue to be satisfied with that.
Unidentified Analyst: Okay. Then my final one, perhaps continuing on the If motor inflation. You mentioned that in U.K., you are expecting moderating interest. And are you seeing that also in the Nordics, at least the FX headwind have eased a bit? And how should we think about the impact of the declining values of the electric cars? Will that have an impact on your -- on the inflation your experience? Or are you expecting that perhaps to result some pressure on premiums?
Morten Thorsrud: Yes. I think on motor, we see that inflation sort of have stabilized during 2023. And we expect to gradually sort of move down. Then Norway and Sweden, in particular, has seen some effects from weak currencies. So -- but that's already something that we've sort of seen throughout 2023. On the EVs, we don't see any difference between sort of an electric car and fossil fuel car. New cars in general have more electronics and are kind of more expensive to repair, but that's, of course, already priced in when we do the pricing. So for us, I mean, the shift towards EVs doesn't represent any claims inflation as such. But again, a new car is more expensive to repair than a 5-year old car for sure.
Unidentified Analyst: Okay. But are you expecting the declining new car prices to result pressure on the premiums?
Morten Thorsrud: No. No. And I don’t think we see really reduced new sales prices of cars. I mean some specific car producers have kind of cut down on pricing. But I think, I mean, that’s not really affecting the repair cost.
Operator: And we'll now take our next question from Vinit Malhotra with Mediobanca.
Vinit Malhotra: Yes. One quick follow-up, please, and 2, again, very quick ones, just to keep it brief from my side. The inflation-led reserve releases, you clearly explained that now. I'm just curious, is there not -- is there a base effect that you're thinking that, okay, last year, so '23 was quite bad, but maybe this year, they are going to be just better just because it was a simple base effect. Is that part of the thinking of being more comfortable with sort of a lower inflation reserve when we go into '24? That's the first question. Maybe it's a follow-up. Second, very quick one is the fixed income gains in If in 4Q stand-alone, €255 million, quite a big number. Isn't there a risk that you've made these gains and now maybe if interest rates are falling? Or is there some potential for it? Does it affect your future income? And just if any comments on that very big number, apologies, I missed it, but I'll be curious on that. And lastly is the growth by -- in the industrial segment, which 4Q '22 was a phenomenal year -- quarter rather, with 29% growth in our database. And then this year, again, is a bit of growth, 3.5%. In fact, the pricing effect you said when you were saying you were pricing ahead of inflation in corporate and industrial, can you just comment a bit about how those customers or other competitors behaving in that market?
Morten Thorsrud: Yes. I'll try to answer the first and last one and then leave the fixed income question to Knut Arne. On the inflation reserve side, I think perhaps a little bit of insight on how this work. When we get claims reported, typically we set a standard reserve. And of course, in times with a lot of inflation, it's important that, that standard reserve is following the inflation sort of in the market. And to be certain that the standard reserves were adequate, that's why we kind of put on an extra inflation reserve in 2022 when we saw sort of inflation really going up. In hindsight, what we saw then was that the estimates that we put in on the standard reserves were very accurate, and therefore, we didn't really need that extra reserve that we put aside. So that's really sort of how that works. On industrial, if I got you correctly, the growth is coming only from rate and value increases. So we are not really growing in terms of number of customers. Then the growth is a bit sort of volatile from quarter-to-quarter sort of also affected by the fact that some of our large clients have changed inception date on their programs. But if you look at the total year, all of the growth basically in industrial is coming from rate increases and value increases, and value increases being them sort of that you adjust the property values that you insure and rate increases being sort of the rate level that we price with.
Knut-Arne Alsaker: And on your fixed income question, let’s see if I heard exactly what you asked for, but returns on fixed income is coming from 3 parts. One is, of course, the coupons and they are sort of received and saved and accrued. And the accrued is only at risk if our investments go bankrupt, and that feels pretty safe given the investment-grade portfolio we have. Then we have, of course, some sales gains, which is realized gains. And then in fourth quarter, we did, of course, had a significant positive effect in the fixed income portfolio from the fact that rates went down, which then had a negative effect on the effect from change in discount rate in the insurance finance income and expense. That part can, of course, be reversed if that was your question, if it’s a risk that, that will be a lower number going forward. It absolutely is a risk for that. But then the design on the cost of liability effect from changes in discount rate will also be changed to a plus instead of a minus.
Operator: And we'll take our next question from Jan Erik with ABG.
Jan Erik: I just wanted to shed some light into the rate increases you have done so far. And so if you think about this, Morten, when did you really see these rate hikes, you know, are benefiting been putting through? So how much more margin should we expect you to have during the couple of -- next couple of years, over the next 18 months, if you think about then inflation now fading, as I say? That's my first question.
Morten Thorsrud: That depends a little bit on what segment and what country you look at. I mean if you take commercial Norway, for instance, we've had pretty strong price increases for a number of years now, but also then rather big claims inflation sort of in Norway, partially also true for sort of the private segment in Norway. If you think more about sort of large corporate, then I think it's been almost 3 years now that we clearly have increased the rates. And then the last 2 years, in particular, sort of also increasing values a lot to reflect sort of the underlying inflation and then sort of increased building values. I don't know if that gave you any insight into sort of future margin development, but...
Jan Erik: Yes, maybe. Is it any line of business that you feel you have been behind when it comes to inflation or frequency or anything in the past few years? Or have you sort of always been able to get ahead of the inflation curve and actually price better than your peers and by that, actually keeping your margin intact in a better fashion? Has it been luck, good efforts or good underwriting or a combination of all of them?
Morten Thorsrud: No. But I think this is our core discipline. I mean this is the most important thing that we do, and this is sort of where we have, of course, our strength as an insurer. And not only in over the last few years, but I mean, understanding development on claims frequency, understanding development on claim severity, making sure that we price for inflation that we understand the development, making sure that we understand sort of repair cost development for new cars versus old cars, et cetera, et cetera. I mean that's our core competence. So I think we are -- I would say this is where we are kind of really excellent. So I think it's not really luck. It's -- this is the core scale of an insurance company, I would say.
Jan Erik: Very glad to hear. Could you just update us on the procurement, as you said? How should we read your sort of agreements these days? Have you been sort of as efficient when it comes to renewal of these contracts? Or how should we look at them into '24 and '25?
Morten Thorsrud: I mean, it -- of course, I mean, we benefit from being a large insurer, a large customer, getting them good agreements, and perhaps even more importantly, sort of we get agreements that give us visibility. So of course, now for 2024, we basically have good insight into sort of how the repair network will do the pricing, for instance. When that is said, of course, the inflation that you see in the market will also of course come into sort of the repair network. I mean, so it's nothing that gives you sort of something for free forever. But I think for us, it gives us good visibility. It gives us good terms.
Jan Erik: Absolutely. Knut Arne, I have a question for you as well. When we see these bond values now moving up and down quite heavily, and you sort of moved out on the curve a little bit, how should we think the solvency effect out of this from potentially your bonds, if they are a little bit under value coming back to par over the lifetime of the bond? How is that affecting your solvency capital? Is it a positive that if the bond has a sort of a value of, let's say, 95 today and full to par is 100, how does that affect your solvency if that is going to happen for the next 2 years if the bond portfolio goes from 95 to 100 in value? And how will it affect your solvency position? Is that something you can answer?
Knut-Arne Alsaker: Let me try to -- the interest rate risk we have is a very -- it's just a small capital commitment. It's less than €100 million of the total SCR. So it's not a significant driver of the solvency capital requirement.
Jan Erik: But is it on the own funds that actually happens too? Or is that just the effect in net financial, as you said, you will lose on your ECL and gain on the other one?
Knut-Arne Alsaker: Yes. Okay. You will, of course, have exactly, as you say, Jan Erik, you will have an offsetting positive effect on – sort of on the own funds from a lower cost of the liabilities. We have sensitivity – solvency sensitivities in the investor presentation as well on this.
Operator: We'll have a follow-up question from Tryfonas with Berenberg.
Tryfonas Spyrou : Two quick follow ups. One is on reinsurance. Maybe if you can update us on the renewal and how that went and whether you sort of increase any of the attachment points and anything to plug out on the renewal? The second is on disability, sort of -- obviously, we saw some negative commentary coming from a Norwegian peer yesterday. I'm pretty sure what the answer will be, but I just want to double check whether you have any exposure to that sort of business buying? And is there anything you can share on the trends there, if you do have any?
Knut-Arne Alsaker: You have to take the reinsurance just for the group. And it was a successful 1/1 renewal. Flattish in some lines and some price increases in others, and price increases that were expected included in our plans and included in the pricing on the direct side. So no material effects from the 1/1 renewals, but successfully executed.
Torbjorn Magnusson: No change to the net retention in the Nordics.
Knut-Arne Alsaker: No change to the net retention in the Nordics.
Morten Thorsrud: And then on the disability question you had, I think that competitor is primarily a life and pension insurer. So we do not have the same exposures in our book of business we do, sort of the personal risk products we do is sort of simple yearly risk products.
Operator: And we'll have another follow-up question from Freya Kong with Bank of America.
Freya Kong: Just quickly on the cost ratio. I noticed it improved 40 basis points for If. Were there any one-offs within that? Because it's a lot better than the 20 basis point improvement we usually expect.
Morten Thorsrud: No. We improved what we say kind of mid-30 when sort of looking at all the decimals. But a good improvement. I think it’s, again, a continuation of just steady work on costs and in particular, sort of gradually becoming more and more digital and reaping the benefits of that. So – but nothing special.
Operator: And we'll now take our next question from Anthony Yang with Goldman Sachs.
Anthony Yang : Just one question on the breakdown of the combined ratio. So thank you for your comments on the reinsurance renewal. Just looking at Slide 47, that we see a kind of higher large loss and severe weather loss in the combined ratio. Should we expect that to be higher as well going into 2024, please?
Morten Thorsrud: No, I think it's in the nature of that sort of severe weather and large losses are stochastic. And we had quite a lot of severe weather in particular during 2023. I think, again, this is -- these are stochastic by nature, a normal level, I think, also Torbjorn commented on in his introductory words, is more around 1% sort of on severe weather for If. So 2023, at least comparing to history, sort of was a special year. And then let's see what the future brings.
Anthony Yang: Can I just follow up? So does it mean in the budgeting going into 2024, does Sampo kind of budgeting for higher nat cat losses versus history going forward?
Morten Thorsrud: No. I think – I mean, these are developments that takes time. I mean, it’s more development over decades rather than years. So of course, we always adjust our pricing and our assumptions. I mean we do that each and every year. But there is no fundamental change from one year to another, but rather sort of changes over decades on this. But again, of course, we have the privilege of being able to price and change our pricing each and every year. So of course, if and when we see any development, we can take that into account.
Operator: And we'll have another follow-up question from Jan Erik with ABG.
Jan Erik: It's about Hastings. I just wanted to follow up on the reinsurance part on the quota share. What should we expect for that quota share level for Hastings in 2024, if you can shed some light to that versus what you had in 2023? And secondly, on Hastings, would -- if you have lowered it, so that means that you will not take any capital out of the Hastings book, so it means that it will continue to fund its own growth with their own equity? Or how should we read your sort of taking capital out of Hastings going forward when it comes to that matter?
Knut-Arne Alsaker: Yes. Quota share in Hastings remained at 30%, successful renewal with broadly unchanged costs. Then we did some changes on the excess of loss for Hastings, where we have a -- which we, of course, should have in terms of reinsurance, also a group perspective on seeded risks in terms of what makes sense for the Sampo balance sheet to see to reinsurers. And Hastings, we hadn’t done anything on the excess of loss before, and the retention that Hastings and Sampo had on that program basically were too low. So it was costly for us to remain at that retention level. So that, we expect to be a benefit for the group going forward. In terms of capital, Hastings is currently adequately capitalized. And I see no reason why Hastings shouldn’t be able to pay dividends going forward as well. Obviously, as you can imagine, ‘23 was an extremely special year where we grew premiums so significant, and Hastings is currently on a standard model, which simply means that the SCR increased quite a bit. So there, we sort of made sure that the Hastings capital base was adequate and didn’t take out any dividend for that particular year. But that’s not the same as saying that there’s anything special with Hastings that should not make it possible to also use Hastings as a part of the liquidity management of the group.
Operator: And we have another question from Asbjorn with Danske Bank.
Asbjørn Mørk: Yes. Just a question from my side on Topdanmark. You didn't add to your position during Q4. Normally, I guess, you're quite long-term investors and look very sort of through the noise in the market. And I guess you should see or do see the Danish market is quite attractive. So just wondering, with the current levels, why you're not adding to the Topdanmark position since you have been buying to Denmark CSS at somewhat higher prices in the past? Any thoughts from your side or comments?
Torbjorn Magnusson: We've got absolutely nothing new to say about Topdanmark, I think.
Knut-Arne Alsaker: And as you know, we have been buyers of blocks of shares in the past and no such blocks were offered to us in Q4.
Operator: Thank you. That was our last question today. I will now hand it back to your host for closing remarks. Thank you.
Torbjorn Magnusson: All right. Well, that ends the call for the day. Thank you all for your attention.